Operator: Good afternoon, and welcome to the Hub Group Third Quarter Conference Call. We will begin with a discussion of the financial results, led by Terri Pizzuto, our Chief Financial Officer; followed by an overall business discussion to be conducted by Dave Yeager, our CEO. 
 The company will make its prepared presentation, followed by a question-and-answer session. Mark Yeager, our President and Chief Operating Officer, will join us for the question-and-answer session. [Operator Instructions] Comments made by Dave, Mark or Terri during this conference call may contain forward-looking statements. Actual results could differ materially from those projected in these forward-looking statements. Our SEC filings contain additional information about factors that could cause actual results to differ materially from those projected in these forward-looking statements. Copies of these SEC filings may be obtained by contacting the company or the SEC. 
 Now I would like to introduce Terri Pizzuto. 
Terri Pizzuto: Thanks, Keith, and thank you, all, for being with us this afternoon. We had a record third quarter, and I'd like to highlight 3 points: First, truck brokerage fired on all cylinders; second, gross margin, as a percentage of sales, held steady; and third, intermodal volume growth was solid. 
 Here are the key numbers for the third quarter. Hub Group's revenue increased 7% to $805 million. Hub Group's diluted earnings per share was $0.50. EPS is up 9% compared to an adjusted 2011 EPS. 2011 diluted earnings per share, excluding onetime costs related to the Mode integration and Hub truck brokerage restructuring, was $0.46.
 Now I'll discuss details for the quarter, starting with the financial performance at the Hub segment. The Hub segment generated revenue of $619 million, which is a 10% increase over last year. Taking a closer look at Hub's business lines, intermodal revenue increased 11%. This change includes a 9% volume increase. 200 basis points of the volume increase came from Hub fleet containers sold to Mode agents. Our fastest-growing customer segments were retail, which was up 14%; and consumer products, which was up 9%.  Prices, fuel and mix were all up slightly this quarter. Truck brokerage revenue was up 6% due to 13% more load, partially offset by a 7% shorter length of haul. Logistics revenue was 14% higher than last year.
 Hub's gross margin increased by $3.7 million due to growth in truck brokerage and logistics. Truck brokerage gross margin increased $2.2 million year-over-year. Truck brokerage gross margin, as a percentage of sales, is up 180 basis points compared to last year. The increase in margin comes from more cost-effective purchasing, as well as success in winning new business. We look for more good things to come from truck brokerage since the new organization is just hitting its stride. 
 Logistics gross margin is up $1.5 million due to an improvement in yield, as well as an increase in business for both new and existing customers. Intermodal gross margin is flat since volume growth, price increases and savings from doing more of our own drayage were offset by rail cost increases. Hub's gross margin, as a percentage of sales, was 10.9%. This margin percentage is the same as the first and second quarter of 2012, and it's down 40 basis points compared to last year's 11.3% margin. 
 The driver of the decrease in the gross margin percentage is intermodal. Our intermodal cost increases were about what we expected, the challenging and competitive market dynamics made it difficult to fully pass along the cost increases. As a result, intermodal yield was down 110 basis points compared to last year. Yield was up both year-over-year and sequentially, for logistics and truck brokerage. We expect the Hub segment gross margin percentage to be slightly lower in the fourth quarter. Hub's cost and expenses were $41.9 million compared to $38.7 million last year. Last year's costs included $335,000 of onetime expenses related to truck brokerage restructuring. 
 We had several claims settled this quarter, which resulted in claim expense being $1.5 million higher than normal. Higher IT cost also contributed to the increase in general and administrative expense. Finally, operating margin for the Hub segment was 4.1%. 
 Now I'll discuss results for our Mode segment. Mode's revenue increased to $200 million. Revenue breaks down as $93 million in intermodal, $80 million in truck brokerage and $27 million in logistics. Mode's intermodal business was up, while truck brokerage and logistics sales were down. Mode's gross margin increased $1.2 million over last year due to growth in IBO business. 
 Gross margin, as a percentage of sales, was 12.2% compared to 11.7% last year. Mode continues to buy well. $700,000 of the increase in gross margin resulted from a positive adjustment to the bad debt reserve. Mode's total cost and expenses decreased $2.1 million compared to last year. Mode had $800,000 of onetime costs in 2011 related to the integration. Salaries and employee benefits are down, in line with our cost reduction plan. Operating margin for Mode was 2.5%. We expect operating margin in the fourth quarter to be between 1.5% and 2% at Mode.
 Turning to headcount. We had 1,339 employees, excluding drivers, at the end of September. That's down 23 people compared to the end of June. Logistics and truck brokerage headcount is down compared to last quarter.
 Now I'll talk about 2012 full year earnings guidance. We're comfortable that our diluted earnings per share will be within the current analyst range of between $1.78 to $1.87 this year. We think we'll have 37,200,000 weighted average diluted shares. We're estimating that our fourth quarter cost and expenses will range between $60 million and $62 million.
 Turning now to our balance sheet and how we used our cash. We ended the quarter with $80 million in cash and no debt. During the quarter, we spent $13.6 million on capital expenditures, bringing the year-to-date capital expenditures to $35 million. In the fourth quarter, we think we'll spend between $20 million and $25 million on capital expenditures, primarily for containers and our new corporate headquarters. 
 To wrap it up for the financial section, we're confident that we're taking the right steps to navigate through this challenging pricing environment. And now you'll hear from our CEO, Dave Yeager. 
David Yeager: Great. Thank you, Terri. Despite a relatively weak economic environment, each of our business segments did well in the third quarter resulting in record net income of $18 million, an increase of 14% over last year. Our intermodal business had another solid quarter with volume up 9%. From a geographic perspective, our transcon interline had the highest growth at over 13%, followed closely by local West at 9%. The intermodal market continues to grow as shippers look for ways to save money and help the environment by converting from truck to intermodal. We continue to gain share, thanks to our 24,000 unit container fleet, nationwide drayage network, and focused customer service. 
 Overall rail service was excellent in the third quarter, with both of our major partners providing consistent and reliable service. As a result, our fleet utilization remained strong at 13.7 days. We are indeed seeing a peak season this fall. As a result of peak, there are pockets of tightness in capacity predominantly in California. Hub has received most of our 2,100 boxes we ordered for this calendar year with about 200 due to hit the Los Angeles ports in the next several weeks. This will bring our fleet size over 24,000 units. Once peak is over, we intend to terminate 1,000 older aluminum containers. While we've not as yet finalized our container bid for next year, we will minimally replace the 1,000 containers that we intend to retire.
 We continue to grow our drayage operations this quarter, increasing our volume of dray moves by 24% year-over-year. Comtrak handled 63% of Hub's dray moves on record-high intermodal volume. And with Hub's intermodal growth, it's doubtful that we'll get to the 70% target we had set for the end of this year.
 That being said, we're very pleased with the pace of recruitment that has allowed us to grow by another 40 drivers during the third quarter, bringing Comtrak's driver pool to close to 2,400 drivers. We continue to work diligently to mitigate our driver attrition by maximizing productivity and minimizing empty miles. Overall, we remain confident that we're well on our way to achieving our ultimate goal for contract to handle 85% of Hub's dray.
 Since our last earnings call, our highway brokerage business has made significant progress. If you recall, on January 1, 2011, we changed the reporting structure of our truck brokerage operation. Don Maltby, who oversees our Unyson Logistics business became the leader of both organizations. Bringing these 2 groups together under a single management team helps us design enhanced solutions, deliver better service and develop a more meaningful customer relationship. Don and his team undertook some massive changes within brokerage. We went from 23 operating centers to 5. We turned over 70% of the headcount and the operating model was dramatically changed to be focused on zone management. These changes have allowed us to better serve our clients, as well as to purchase capacity at a better price point.
 As Terri indicated, our highway brokerage business posted a 6% revenue growth, while the same time increasing volume and margin. We're currently seeing growth in all of our customer segments and across all of our industries. Our brokerage office operation is again growing with existing clients, while at the same time, bringing new opportunities to the table. We believe this organization has turned the corner, although we are by no means declaring victory. A lot of work remains, but we believe the table has been set and that our truck brokerage operation is poised for growth.
 Unyson continued its history of solid performance, delivering 14% revenue growth year-over-year. We have successfully renewed contract with key existing customers, expanded our engagements with top accounts and secured several new clients this quarter. The pipeline is robust, and the value proposition, more compelling than ever. We're very pleased to state that Unyson is, again, named as the Top 3PL service provider by Inbound Logistics, and has received the #1 ranking in every category with Logistics Management Magazine. We believe these are strong testimonials to the customer satisfaction and loyalty that Unyson continues to create.
 Mode continue to benefit from an improved cost basis. Our agents have successfully enhanced market performance over the course of this quarter by leveraging the Hub fleet and contract drayage operations. At the end of the quarter, we began the implementation of our new technology platform that will be rolled out to the 100 Mode offices over the next 12 months. This new technology will bring better information and improved operating efficiencies for the Mode agents network.
 In conclusion, while the general economic outlook remains somewhat uncertain, our ability to offer diverse set of services contributed to another strong quarter for our company. The hard work of improving Hub highway operations is now delivering solid results. Unyson Logistics continues to deliver strong growth, and our intermodal business continues to grow with record volumes this quarter. We're pleased with the momentum as we remain focused on better serving our customers. 
 At this point in time, we'd like to open up the line to any questions you may have. 
Operator: [Operator Instructions] And your first question is from the line of John Barnes with RBC Capital Markets. 
John Barnes: A couple of things. Number one, the improvement that you noted in your purchase transportation in the truck brokerage group, I'm curious as to how much of that you ascribe to initiatives that you put in place versus how much -- what percentage of that improvement you saw just as a result of lower truck load rates throughout the industry? 
David Yeager: John, that's a really good question. It's really hard to break down the 2 of them. Certainly, right now, as we are in the middle of peak season, truck capacity is very loose. There's a lot of capacity out there, and not a whole lot of demand. So certainly, a part of it is the market itself. But we do believe also that our zone focus is really helping us with the pricing, and is opening up some opportunities for us. But I really don't know how we can split out the -- it's a combination of both. It's the changes we've made internally, as well as the market itself. 
John Barnes: Okay, very good. And then just as a follow-up, we have had conversations back at our conference where there were still some speculation as to what was going to happen with the East Coast port labor situation. And your company made some comments then about potentially seeing a little bit of an uptick in business potentially as a result of that, maybe some surcharges on equipment and that type of thing. Did you see any of that before they were able to reach some extension of the contract? Did you see any kind of pre-shipping or anything that might have influenced volumes in the quarter at all? 
Mark Yeager: John, this is Mark. I would say that there were a few customers that took some actions to get out ahead of any potential strike on the East Coast, but I would not say that it had any significant impact on overall volumes. 
Operator: Your next question is from the line of Alex Brand from SunTrust Robinson Humphrey. 
Alexander Brand: I guess, let me start with the volume growth. Dave, I think I heard you say transcon and local West. Did you say what local East volume did? 
David Yeager: I did not. But go ahead, Terri. 
Terri Pizzuto: It's up 5%, Alex. 
Alexander Brand: And is that still just not growing as fast as we would think because of the tough comp issue? And when do you lap that? 
David Yeager: Well, it's partially the tough comp, I believe. But we did lose some business and bids this past year. It was a very aggressive pricing market. So that is certainly a major point. We do still consider -- continue to see diversion from truck to intermodal, it's just that we had lost a few key lanes that set us back a bit. But again, we see the local East as a tremendous opportunity for us to grow share. And certainly our clients, at this point in time, were still inclined towards conversion from truck to intermodal. 
Alexander Brand: And Dave, you said that you finally started seeing some tightness on the West Coast in containers. Is it normal at this point for this time of year, or it still hasn't quite gotten to where it normally is? 
David Yeager: No, it should be very tight right now. This is the peak of peak, if you will. So, realistically, from the middle of September through the end of October should be the time when capacity becomes very constrained. And again, we're being able -- we're very pleased that we've been able to service all of our commitments that we've made to our clients as far as the search capacity. But yes, this is the time that you would see peak. And I would say, if anything, it's probably right on target with how we foresaw it with -- but it might be a little more muted for other people. 
Alexander Brand: Okay. And in light of that, I mean, capacity has been pretty loose most of the year. That's obviously had an impact on spot pricing this year, and your intermodal yield down 110 basis points. How do you think about -- as you head into 2013, where is capacity going to be from an industry perspective? And what kind of pricing power do you need to get that gross margin impact back up to where you can again be talking about yields going back up a little bit? 
David Yeager: Did you want to handle, Mark? 
Mark Yeager: Sure, I can do that. Yes, Alex, I think certainly with significant additions in equipment that we saw, that undoubtedly had an impact on pricing power for everyone. We've been in a fluid equipment situation, but there are clearly competitors who have chosen to attempt to fill their boxes at times sacrificing price in the process. So I think that the industry, though, has posted good solid growth this year and has grown into that capacity addition. I don't think we'll see significant capacity adds next year. So we do think that we'll see a little bit of improvement in the pricing environment, though. Absent a significant uptick in the economy, it's likely to continue to be challenging. 
Alexander Brand: And just one last thing then on this topic, so if pricing power's challenged again for you guys, and that's not how you can get your yield going back up, is there an ability to scale up the network and just have your network scale be how you drive the efficiencies and not be as dependent on price? 
David Yeager: Well, we -- fortunately, one of the things we do, I think, pretty effectively, Alex, is we have been working on, internally, on removing costs, whether it's doing a higher percentage of our own drays, whether it's spinning our containers quicker, whether it's reducing our empty miles. So we are doing many of those things. It just so happens that this past year, the savings that -- with the operating efficiencies we've been able to bring to bear plus our customer price increases, were less than what our railroad increases were. And I would suggest that next year again, we will see our rail partners will be looking for price increase. But we do believe -- we'll be very focused on passing that on and -- while at the same time, working on our internal efficiencies. 
Operator: Your next question is from the line of Brad Delco from Stevens. 
A. Brad Delco: Dave, maybe just to focus on intermodal a little bit more. I guess 90 days ago, we were talking about seeing some margin expansion in the Hub legacy business. And I was just trying to get your take as to kind of what went well for you, it sounds like truck brokerage did, versus what really happened on the margin side with intermodal and how much of a surprise was maybe some rail rate increases that you've got? 
David Yeager: Yes, Brad. I don't think that the rail rate increases were a surprise. I would say that if you look at the intermodal pricing environment, it was a little bit surprisingly aggressive. Obviously, if you looked at the cash index, you would've seen that it really flattened out. In fact, it actually went negative for some time period. So I would say that, that was a little bit surprising. At the same time, we saw great success in transcon. We saw good solid success in local West, brought on some new accounts and still managed to grow volume ahead of the industry. So we feel like it was successful, albeit, we were not able to accomplish our primary goal, which was to reestablish some of the ground that we had given away due to market pressures. So I think we got through the bids well. Albeit, we tested the market several times and found that the market just wasn't as receptive as any of us would have liked. 
A. Brad Delco: Got you. And Terri, did you mention what the length of haul was in your intermodal business? 
Terri Pizzuto: No, it's -- but it's 1,625 miles. So it was actually up slightly compared to Q3 of last year. 
A. Brad Delco: Got you. And then maybe last question. It looked like, I guess relative to our expectation, Mode was a big outperformer. And I think I heard a comment about some onetime cost there, maybe associated with reversing some bad debt. So is that onetime in nature? Are these -- you guys doing a better job with collections? Is this something that could be more sustainable going forward? I guess how should we think about Mode's performance in the 4Q and then next year? 
Terri Pizzuto: Yes, you're right, Brad. We called out a $700,000 one -- positive adjustment for the bad debt reserve, which improved gross margin this quarter. And you're right, it's because we collected more than we basically thought we would, which is good. But that probably will not recur in future quarters. It's just because we revised our collection percentage to be higher. And so that's why operating margin was pretty high this quarter, which was 2.5% and gross margin, as a percent of sales, was 12.2%. We think that for the fourth quarter, the gross margin, as a percent of sales, will be closer to what it was in Q1 and Q2, and that the operating margin will be between 1.5% and 2%. And then for 2013, we're still working on our budget for that, so we really haven't come up with that number yet. 
A. Brad Delco: Okay, that's good color. And then, I guess, final question. Intermodal volume's up high single digits, it's kind of consistent with some of your commentary last quarter. Is that something we should continue to expect? I guess, given the peak season or what you're seeing so far, do we think high single-digit volumes is kind of a norm at this point for 4Q? 
David Yeager: Well, certainly, our predictive capabilities are somewhat limited, but certainly for the remainder of this year, at least our current run rate is in the high-single digits. 
Operator: Your next question is from the line of Kevin Sterling with BB&T Capital Markets. 
Kevin Sterling: I think, Terri, you'd mentioned the Hub gross margin being down in 4Q. Is that on a sequential basis or a year-over-year basis? 
Terri Pizzuto: That's on a sequential basis. So if you look at it, you'll see that, historically, the gross margin percentage for the Hub segment does go down in the fourth quarter compared to the third quarter. And also, there may not be as much opportunity for truck brokerage project work in the fourth quarter due to the economic environment, which also impacts that number. 
Kevin Sterling: Right, right, right. Okay, and as we think about intermodal yield, too, in the fourth quarter, should we expect that to fall in the fourth quarter on a year-over-year basis like we saw on the third quarter? 
Terri Pizzuto: No. We haven't gotten to granularity on margin percentages by product -- by service line for the fourth quarter, but overall, you know it'll be down slightly from the 10.9% that we were at in the third quarter. 
Kevin Sterling: Okay. And Mark, when you talked about your customers, I guess, not being receptive to price increases, do you think that's primarily because of squarely intermodal pricing by your competitors, or is it truckload pricing, or maybe it's a combination of both? 
Mark Yeager: I think, it's a combination of both. I think that as people are looking at flat truckload pricing, knowing what's going on with the cost structure of the over-the-road provider, they find it hard to accept more significant increases from the intermodal product. At the same time, in a capacity environment in which people have some capacity to negotiate with, a lot of freight goes to the most irrational player in the intermodal game. So that's squarely pricing, isn't just the paper rate, it's something that actually moves freight. So I would say it's a combination of the 2 factors. 
Kevin Sterling: Okay, and then on Unyson Logistics, you had some very nice revenue growth there. Is that primarily attributable to new business wins, or maybe it's a combination of new business wins and expansion with existing customers, how should we think about that? 
Terri Pizzuto: Yes, the latter. It's a combination of new business and growth in business with existing customers, as well as improvement in yield. 
Operator: Your next question is from the line of Michael Weinz from JPMorgan. 
Michael Weinz: I guess the first question I have is kind of simple. I might have missed it, but did you mention the volume growth for brokerage in the quarter? 
Terri Pizzuto: Yes, it was up 13%. 
Michael Weinz: Yes, that is very strong. How much of that is due to easy comparisons? And how should we think about that going forward because of that? 
David Yeager: We certainly did have a low ball. We'd like to think of it as a tremendous progress from all the hard work that we've done. So there was no question, it had a low comp. But at the same point in time, it's good to see it begin to grow again, to gain that momentum. I think the focus of the organization now is very clear, and so we look for them to continue at -- to grow at a good pace. 
Michael Weinz: Okay, so -- but it seems like it would be reasonable to think it'd be decelerating in fourth quarter because of a comp issue? 
Terri Pizzuto: Yes, our truck brokerage volume declined. In the third quarter 2011, was down 12%. So, you're right. And in Q4 of last year, we were down 3% in volume and truck brokerage. So the comp gets harder in the queue. And then on the in-house drayage, I think I missed the number but you'd indicated you're  not going to make it to 70% by the end of the year? 
David Yeager: Quite and partially that's just a result of the overall growth that we've experienced with our intermodal product. I mean, it grew 24% year-over-year, as far as number of drays hauled. And yet, it's relatively flat versus the second quarter just because of our 9% volume growth in intermodal.  So yes, we do believe that we will not make that 70% target this year. 
Michael Weinz: And what was the percentage of this quarter? 
Terri Pizzuto: 63%. 
Michael Weinz: Okay, so it did go down a little bit sequentially. Okay. And then on the SG&A side, you said that there were higher IT costs that contributed to the spike in SG&A cost during the quarter. What else was there, I think there was another component? 
Terri Pizzuto: We had settled a few claims, and so claim expense was $1.5 million higher than normal. 
Michael Weinz: So presumably, that wouldn't recur in fourth quarter? 
Terri Pizzuto: Correct. 
David Yeager: Correct. 
Michael Weinz: Okay. And then I guess some broader questions. It's really hard to ask this because it's more of a chicken and egg question, which one came first. But if we think about the Crescent Corridor, I guess there's something like 34 new lanes opening up, what do customers want to see first? Because you kind of need volume to show that the service works, but you also need the service to get the volume, right? So how do you go about trying to get customers to sign on and what does that path look like over the next year or two? 
Mark Yeager: There's no question, that is definitely a chicken and egg, right? Hopefully, I think that the Norfolk Southern has built up enough credibility in the marketplace for the customer to feel comfortable that they're going to live up to the commitments that they make. I think it's one of the reasons that Norfolk Southern hasn't been real vocal about what the service levels will be in these lanes until they really have a strong commitment that they're going to be able to deliver on that. So I think their caution in the long run is good because we won't have disappointed customers. In the short run, it's been a little bit more of a challenge to prepare folks for these new services and try to garner excitement. But most folks, I think, believe in intermodal at this point. And judging by the performance of Norfolk Southern over the course of the last several years, they have every reason to believe they're going to hit those commitments. 
Michael Weinz: Okay, so if you're comfortable that the Norfolk can create a very strong product here, at what point do you start buying the containers? Do you lock in the customers ahead of time or do you primarily leverage the rail fleets to support that business at first and then add capacity later? 
David Yeager: Well, I think that's less of a chicken and the egg because we do have pretty much direct control over the amount of capacity that we may need in as much as we can pretty well forecast what some of our increase in our volume should be. So I think, for that, it's a question of sitting down with our sales and marketing team, determining where they see demand going and then creating a build accordingly. 
Michael Weinz: Okay, that's helpful. And the last question I have for you is with respect to Mode. You had referenced this new technology push that you're going to be, I guess, implementing over the next couple of quarters. What's the end game here? Is it for scalability of your existing headcount or is it focused on cost savings or improving asset turns or how should we think about what the effect of this is going to have over time? 
Mark Yeager: Yes, we're bringing the Mode agents onto -- up onto our system, a version of our system. And the idea here really, rather than reducing cost is to give them better visibility into the marketplace. So enable them to really see -- to have the advantages of Hub's purchasing power in the marketplace, to better understand the highway market dynamics, and better understand what their options are from an intermodal perspective, so that they can be a more informed purchaser of transportation. So it's really to help them do their jobs better. 
Michael Weinz: Can that have a positive impact on how they handle pricing with their customers? 
David Yeager: That's the whole idea. 
Operator: Your next question is from the line of Todd Fowler with KeyBanc Capital Markets. 
Todd Fowler: Dave, on the intermodal gross margins, when do you think that you get another swing at the plate as far as looking at the pricing, either with your rail partner or with your customers? And I think it probably could work both ways, I mean, if there's more competition in the marketplace on the pricing side, you locked into the first quarter where gross margins you shouldn't see, them slip sequentially as you move throughout the first part of the year. Or is there some risk that the real -- that the competitive pricing comes to manifest itself a little bit more in the first half of next year. 
David Yeager: Well, I think most of our business right now have been repriced. And so we're going to live with that and we'll see bids begin to come out and repricings in the first quarter that actually probably won't really be effective until the middle of the second quarter. So we'll be focusing on that, there will be a lot of internal discussion and analysis about where we think -- well, what pricing we can get. And then of course, a completely separate issue is dealing with our rail partners who, obviously, have invested tremendously into the intermodal product and are looking for an adequate return. So there are 2 separate issues, but -- so we'll have a lot more clarity come the middle of the second quarter, minimally, but certainly our analysis and internal discussions will be before then. 
Todd Fowler: But I guess, I mean, some of the comments that you have about the market being a little bit more competitive on price, I mean, it feels like that you're locked in and I don't think a big percent of your book is doing spot business, so really the gross margin, as you get into the first quarter it's really just start to think about the second quarter and then at the mid-part of 2013 when there could be somewhere variability in the margin. Is that the right way to think about it, I guess? 
David Yeager: That's the right way to think about it. 
Todd Fowler: Okay. And then, I mean, as far as your relationship with your main rail partner at this point,  I mean thinking about your volume growth and kind of where they've been, I mean, obviously, you're a big contributor to the volumes. What do you bring to the table? I mean, how does that help you in your position in working with them and thinking about your cost structure and some of the things that you have from a negotiating standpoint? 
David Yeager: Well, we don't get into publicly, about a lot of our negotiations and where that leads. But both of our Eastern rail partner, the Norfolk Southern, as well as our Western partner, the Union Pacific, we all -- we have an ongoing dialogue with them. I think an awful lot of what we focus on, certainly, it is the price we pay to the rail. But at the same point, it's on internal efficiencies that we can garner and that we can actually control and drive because our view is that intermodal will be won or lost on the street, ultimately. And so we've gotten a lot better, have room for improvement and we'll continue to focus on that. 
Todd Fowler: Okay, got  it. And then just the last one I have at this point. With the turnaround in brokerage, I guess, I'm curious -- and you went through a couple of different things and, obviously, I know there's been a lot of work for a couple of quarters, several quarters at this point. You got to think about -- outside of the external environment, may like the one of  two things that really help you turn the corners here, and then how do we think about that business going forward, I mean, from the ability to grow the top line, as well as, to improve on the cost structure? 
David Yeager: Sure. Well, I think that, obviously, brokerage was a difficult and painful process, right, anytime you go from 18 operating centers down to 3 main centers and 3 support centers, it's challenging and we have a lot of attrition on the front lines to make that happen. But I think that, aligning Unyson and brokerage under a single management team, bringing new blood and new processes, and having the willingness to go out there and really completely reengineer the thing, while it was painful, definitely in the long run, produces a better product. And now what's exciting to see is that the sales people have embraced that new product and are selling it aggressively because they believe in it. We have a better ability to execute now with the team that we have in place, and that creates the confidence in the sales group that they feel good about selling the Hub Highway product. And I think that, that's something that should enable us and position us to re-establish the kind of consistent double-digit growth that we saw out of this project for many years. 
Todd Fowler: Okay. That was exactly going to be my follow-up. So I mean If you think about the business longer-term you can go but that historical growth rate with the changes that you've put into place? 
Mark Yeager: Definitely. 
Operator: Your next question is from the line of Anthony Gallo with Wells Fargo. 
Anthony Gallo: Could you tell us what the mix within the brokerage business is now between contractual versus the spot? And how you see that evolving going forward? 
Terri Pizzuto: It's about 80% contractual and 20% spot. And we think going forward, it'll probably stay -- we'll stay that mix of business. 
Anthony Gallo: What do you think it was before the restructuring? Was it more 50-50? 
Terri Pizzuto: It's like 60-40. 
Anthony Gallo: 60-40, okay. And then of -- somewhat unrelated question. The transcontinental business where you had the growth, can you separate what portion of that growth was truck conversion versus this growth with customers or new traditional intermodal customers? 
David Yeager: We really can't, with any exactness. That's not a data element that we've traditionally captured at the point of pricing, which is where we'd need to be capturing it. At one point, a lot of it ran truck, but probably not in the case of transcontinental. For the most part, most of that growth would be traditional intermodal freight as opposed to conversion. Although we were successful in finding some transcons that was in fact conversion freight for some element of it. But certainly not the majority. 
Anthony Gallo: That makes sense, I was just trying to confirm. 
David Yeager: Yes. And our second largest area, Anthony, was local West. And I do think it's a higher percentage of that, that in fact is freshly minted conversion freight. 
Operator: Your next question from the line of William Greene with Morgan Stanley. 
William Greene: I just want to come back to the growth rate on the intermodal. So high-single-digit growth rates, but you weren't able to sort of keep the pricing as good, I guess, is what the rails have been able push through. Do you think you'd be able to push harder on price if we grew a little bit slower? Would that not be the right way to think about the relationship? 
David Yeager: It's a very fine line and probably more art than science, with pricing and making sure that you're market competitive and can actually gain some share while, at the same point in time, making sure that your costs stay in line. So in theory, yes, you could, in fact, slow down growth and might marginally increase price, but we don't think that -- from what we saw within the bids, we felt as though our strategy was working and it was the appropriate way to go. 
William Greene: So when you think about kind of a path back toward your former peak margins at Hub, what sort of the milestones then that get us there? What are the things -- what are the levers that you pull on? 
David Yeager: An incredibly tight equipment market would be the first thing. And we have not seen that, and probably will not see that in 2013, would be my guess. But certainly, a tight capacity market is the very first step towards allowing for larger price increases. 
William Greene: Do you think there's anything on either the cost side or on the Hub-specific side that you can do to get there or it's just -- you got to get the macro better? 
David Yeager: Well, no. I mean, we're very focused, as I said before, we're very focused on enhancing our drayage, enhancing our street operations, doing more of our own street operations. And that drives an awful lot of cost savings, that coupled with our equipment, our equipment turns. Simple things of -- acquiring containers for cash versus leasing, all of these things contribute towards us enhancing our margins. And so were -- unfortunately, there's no single light switch that you can just turn on. It just takes time to -- and a lot of different levers to pull in order to get to the promised land of higher margins. 
William Greene: Yes. When we look at intermodal growth -- I know intermodal's got some secular elements to it, and so I know we all try to think about same-store sales and that sort of thing. But as best as you can, if you try to look at what you're seeing so far in October in the same-store sales concept or whatnot, do you see any evidence of a pick up in your numbers, or you just don't have that kind of visibility? 
Terri Pizzuto: Pick up in our volume? 
William Greene: Well, I don't mean specifically volumes, I more meant in the context of what's happening from an economic standpoint. Can you see anything in the marketplace that suggest October's better for the intermodal marketplace relative to September? 
David Yeager: I would say, at this point in time, it looks like you would expect a traditional peak. 
Mark Yeager: Right. 
David Yeager: So no, I would say that, I think, October is going to be very strong as was September. But I don't think we're going to see anything extraordinary that'll end -- If you think about it, most of the imports coming in from the Far East, they're on the water. They have been on the water for a week. So the last of them. So no, I would say October will be good, but we're not going to suddenly see anything break out. 
William Greene: Yes. Okay. And then just last question. When you think about the business and the customers that you have, do you have any sort of estimate in terms of what percentage of the business might be related to the housing market? 
Terri Pizzuto: Not a lot of ours is. We would guess less than 5%, really. 
Operator: Your next question is from the line of Scott Group with Wolfe Trahan. 
Scott Group: So just one quick thing. First, the growth that you're seeing so far in October, is transcon still the best within the different regions? 
Terri Pizzuto: Yes. 
Scott Group: Okay, that's helpful. So Terri, you talked about expectation for gross yields to fall a little bit sequentially from third quarter to fourth quarter. Can you give us a sense of -- if I looked last year, we saw a big drop off from third to fourth and, if I remember, it sounds like -- if I remember, you guys got squeezed unexpectedly from some rail increases. Are you expecting anything  that magnitude in fourth quarter this year? Or is it going to be more of a normal 10, 20 bp drop from third to fourth that you're thinking? 
Terri Pizzuto: Yes, a normal 10, 20 bp drop. You're right, last year, in Q3, we were at 11.3% gross margin. In Q4, were at 10.6%. More than a little bit. And we think it will be down slightly, but not to that magnitude. 
Scott Group: What happened in fourth quarter last year where the rails unexpectedly putting some rate increases? And why is the environment different -- why do you feel that the environment's different right now, in narrow perspective? 
Terri Pizzuto: We got another round of price increases in during the first half of the year, and so that's helping the margin this year, obviously. And there's a different cost increase this year than there was last year. 
Scott Group: Okay. So you feel comfortable that there is another one coming in fourth quarter? 
Terri Pizzuto: Right. 
Scott Group: Okay. Maybe in the higher level, when we think about the intermodal yields, if look back in your history, in periods when the pricing that you're getting from your customers isn't as good as you wanted, and you're getting squeezed from the rail increases going up, how did the rails typically react the next year? I mean, are they receptive to the fact that you got squeezed and maybe they push a little bit less hard in the next year? I'm just thinking about In '13, is there an opportunity for some more modest increases from the rails or do they kind of just go ahead every year with increases? 
Mark Yeager: I think it's clear that the rails are definitely looking to produce a return on the investment that they're making. So we are anticipating that there will be increases associated with next year, just as there were this year, despite a challenging environment. So I don't think that we're anticipating that they are backing off in any measurable way. 
Scott Group: Mark or Dave, do you ever think about adding rails, as a service provider, so you can play one versus the other or do you feel like that's not the right strategy? 
David Yeager: No, we really think that our strategy of focusing our fleet in our business on a single carrier in the East and a single carrier in the West is the proper way to go. I think that you build the relationship, you continue to focus on expanding the market jointly, as well as, some of the efficiencies of fleet operations, et cetera, are far superior when you have a sole underlying rail supplier. So we really think this is the proper focus, and so we certainly don't see any reason to change that at this point. 
Scott Group: Okay. And Dave, you talked about, for next year, in boxes, doing at least 1,000. I'm -- just want to make sure I understand, are you saying at least 1,000 and maybe more? Or your thought at this point is just the 1,000 for replacement? 
David Yeager: Minimally, we'll maintain the fleet at 24,000 units. And so we're retiring 1,000 aluminum boxes, so minimally, 1,000. We need to sit down with our marketing and sales people, look at where we see the demand trends going and make a decision about how many additional boxes we might have built. 
Scott Group: If all you do is maintain the fleet, can you get double-digit growth again next year in volume? Or should we be thinking closer to 5% or so? 
David Yeager: We certainly could. I mean, we do -- we're very fortunate with our model and with our partners, the Norfolk Southern and Union Pacific. We have the EMP product which is readily accessible. So we actually could grow while not adding boxes, if that was the choice we made. 
Scott Group: Okay. And last thing for me, if I can. Can you talk about the relationship today between Mode and the Hub brokerage business? And where they compete and when do they work together, if at all? It feels like your brokerage had a good volume quarter and Mode, on the brokerage side, feels like it didn't have as good a volume quarter. I just want to understand how they interact in the market with each other? 
Mark Yeager: That's a good question, Scott. And the honest answer to that is, they don’t really work together very much right now at this point. And they don't benefit from the significant amount of purchasing that they're each participating in, in the marketplace. It's like making french fries and potato chips. We both use a lot of potatoes. And what we want to be able to do, and one of the reasons we're bringing them up on our system is because of -- we can each benefit from our mutual knowledge of the market, and where the carrier base is and what we should be paying for transportation and what we should be charging for transportation among our carriers. So there is a real opportunity for those 2 groups to work together, but that currently is not the case, as of yet. 
Operator: Your next question is from the line of Jeff Kauffman with Sterne Agee. 
Jeffrey Kauffman: I just like to follow-up on the brokerage question that was just asked. How much of the improvement, and you kind of alluded it was an easy comp on the Hub side, but how much of the improvement we see is the market for truck brokerage actually improving versus the organization improving? 
Mark Yeager: Well, I think, certainly, in terms of our ability to purchase better, there's no doubt that, that was facilitated by a softer market. That's always an opportunity for a truck brokerage, only if they're purchasing well. And I think, in this case, we improved our ability to purchase. I don't think that the market helped us grow volumes by 13%, right? And even though that was over an easy comp, that was still strong -- by all accounts, still strong, high-single-digit kind of growth even unaided by an easy comp. So I would say that on the purchasing side, the market certainly helped us, the volumes execution help us. 
Jeffrey Kauffman: All right. So on the Mode side, were they seeing the same trends on the purchasing or is there a structural difference between the way Mode's brokerage is set up and Hub's brokerage is set up? You're talking about the 80-20 contract versus spot split earlier. 
Mark Yeager: I would say that Mode realized some benefits from an ability to purchase at a better  purchase point. Certainly. 
Jeffrey Kauffman: Okay. So you would argue the Mode volume was more indicative of the market, but both organizations benefited from better purchasing? 
Mark Yeager: Yes, that's probably fair to say. 
Jeffrey Kauffman: Okay. Second question, this is just a clarification. My understanding on, I guess, what I would call unusual timing issues, would be the $1.5 million in extra claims expense that you mentioned this quarter, offset to a small degree by the $700,000 and kind of a onetime adjustment to bad debt, but we don't see a forward benefit on that, correct? 
Terri Pizzuto: Yes, that's exactly right, Jeff. 
Operator: [Operator Instructions] And your next question is from the line of Ben Hartford with Robert W. Baird. 
Benjamin Hartford: Mark, could you provide a number of the number of productive or active agents that you had in Mode in the third quarter, and then compare that to the second quarter? And then, I guess, just envelope it with what is the recruiting pipeline like, now that you've absorbed Mode and you can focus on integrating it here with the system as the next step? And can you talk about how that agent pipeline is baking in now that you have it under control? 
Mark Yeager: Sure. We had 93 IBOs, which are Independent Business Owners. That is the same number that we had in the second quarter. So we didn't add any IBOs in the course of the quarter. One of the things -- we are in the process of the systems change and so, realistically, for a larger agent to come on board, just prior to our launch of the new system, probably wasn't the smartest thing. So that pipeline has been put on hold just a little bit. In terms of sales agents, I think we added 3 new sales agents in the quarter. So I would say that, that was a  little bit slow, from a pipeline perspective. But largely attributable to this systems initiative and we look to get that going again, if not the fourth quarter, certainly the first half next year. 
Benjamin Hartford: And then once you get the system installed, now that you got that in front of you, how should we think about top line growth in Mode relative to the Hub business? Should they be comparable? Should run rates be comparable at some point in time? And I guess, if so, when should we expect that? 
Mark Yeager: I don't know that we've ever thought that Mode will grow as fast as Hub. We don't have nearly as much control over that growth rate there is the Mode agent controls the price. And really controls their appetite for expansion. So I think it can be a good solid growing company, but it's probably not going to grow as fast as Hub. 
Benjamin Hartford: Okay. And I guess, to drive the growth then, is it more in your control to track agents as opposed to push on the string of the individual agents? Is that how we should think of growth in revenue in Mode? 
Mark Yeager: I think that's absolutely right. We have to be able to attract new agents so we have to have an attractive product for them to sell and the other thing we have to do is help our existing agents grow. And that's one of the real drivers behind the whole systems' initiative. 
Benjamin Hartford: Okay, that's good. And then 85% target account track, what's a reasonable timeline to be thinking about when you can get that? In a reasonable stable growth environment, when do you think you can get to that 85% threshold at the earliest? 
David Yeager: Hopefully, we can continue to grow our intermodal business at a very rapid pace. But probably 2 years, in that range, would be a good goal. 
Benjamin Hartford: Okay. And then one last question, kind of more conceptual, but building on the pricing discussion within intermodal. You got some -- a little bit of sloppiness in the spot market here in the third quarter, and you're doing what you can in terms of restraining your container fleet growth next year, but this old rule of thumb about 10% to 15% discount intermodal relative to truck, to what degree can that discount narrow at all, as you guys in the industry prove out the service component to intermodal versus just being dictated by what core contractual truckload rate is growing at on an annualized basis and, therefore, what it is giving you? 
David Yeager: Well, I would say, Ben, that in a slightly more constrained market, it would be simpler to begin to shrink the difference between truck and intermodal. And I do think that over a period of time, that we'll be able to, in fact, accomplish that. One of the things -- your comment initially as far as us constraining the growth of our fleet for next year, that may -- that has yet to be decided. We are definitely going to look at and analyze how much growth we see and make a decision on fleet expansion from that. So that's not a foregone conclusion, that the fleet will not grow next year. 
Operator: And this will end the Q&A portion of our call. I'd like to turn it back over to Mr. Dave Yeager. 
David Yeager: Great. Well, again, thank you for taking the time to join us for our third quarter conference call. As always, if you have any additional questions or comments, please do feel free to contact Terri, Mark or I. 
Operator: Ladies and gentlemen, that will conclude today's conference. Thank you very much for joining us, and you may now disconnect. Everyone, have a great day.